Operator: Good morning, ladies and gentlemen. Welcome to the Gentex Announces First Quarter 2015 Earnings Conference Call. Today's conference is being recorded. I would now like to turn the meeting over to Mr. Josh O'Berski, Gentex's Investor Relations Manager. Please go ahead, Mr. O'Berski.
Josh O'Berski - Investor Relations Manager: Thank you. Good morning, and welcome to the Gentex 2015 first quarter earnings release conference call. I'm Josh O'Berski, Gentex Investor Relations Manager, and I'm joined by Mark Newton, Senior Vice President; Steve Downing, Chief Financial Officer; and Kevin Nash, Chief Accounting Officer. This call is live on the Internet by way of an icon on the Gentex website at www.gentex.com. All contents of this conference call is a property of Gentex Corporation and may not be copied, published, reproduced, rebroadcast, retransmitted, transcribed, or otherwise redistributed. Gentex Corporation will hold responsible and liable any party for any damages incurred by Gentex Corporation with respect to any unauthorized use of the contents of this conference call. This conference call contains forward-looking information within the meaning of Gentex Safe Harbor statement included in the Gentex reports first quarter 2015 financial results press release from earlier this morning, and as always, shown on the Gentex website. Your participation in this conference call implies consent to these terms. Now, to Steve Downing for the Q1 2015 financial summary.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thank you, Josh. For the first quarter of 2015, the company is pleased to report net sales of $368.9 million, which was an increase of 10% compared to net sales of $335.7 million in the first quarter of 2014. This strong sales growth was accomplished in spite of a worldwide light vehicle production environment that was down 2% in our primary markets versus the first quarter of 2014, and foreign currency fluctuations that accounted for approximately 1% of revenue headwind during the quarter. The gross profit margin in the first quarter of 2015 was 38.8% compared with a gross profit margin of 39.1% in the first quarter of 2014. The primary drivers affecting gross profit margin on a year-over-year basis were annual customer price reductions, continued higher-than-expected manufacturing costs related to new technology launches, and currency rate fluctuations, which were mostly offset by purchasing cost reductions and improvements in product mix. Net income for the first quarter of 2015 was $77.2 million, up 13% compared with net income of $68.6 million in the first quarter of 2014. Earnings per diluted share in the first quarter of 2015 were $0.26 compared with earnings per diluted share of $0.23 in the first quarter of 2014, which has been adjusted for the December 31, 2014 stock split, which was effected in the form of 100% stock dividend. During the calendar year 2014, the company benefited from incremental research and development tax credits for calendar years 2010 through 2013 in the amount of $7.3 million not including appropriate audit reserves, which were recorded as a result of the then in-process audit by the Internal Revenue Service. During the first quarter of 2015, the aforementioned audit concluded for calendar years 2010 through 2012, and as a result, the company realized incremental research and development tax credits of approximately $3.9 million. The effective tax rate in the first quarter of 2015 decreased to 28.8% from 32.6% in the first quarter of 2014, and the incremental impact to earnings per diluted share for the quarter was approximately $0.01. Automotive net sales in the first quarter of 2015 were $360.6 million, up 10% compared with automotive net sales of $326.3 million in the first quarter of 2014 primarily due to an 11% increase in auto dimming mirror unit shipments. Other net sales, which include dimmable aircraft windows and fire protection products, were $8.3 million in the first quarter of 2015 compared with $9.4 million in the first quarter of 2014. Other net sales decreased primarily due to reduced dimmable aircraft window shipments during the quarter. During the first quarter of 2015, the company repurchased 1.4 million shares of its common stock for approximately $25 million. The company will repurchase additional shares of its common stock in the future depending on macroeconomic issues, market trends, and other factors that the company deems appropriate with the remaining shares available from our most recently announced share repurchase plan. Now over to Kevin Nash with Q1 2015 financial details.
Kevin C. Nash - Chief Accounting Officer & VP-Accounting: Thank you, Steve. Operating expenses for the first quarter of 2015 were $35.4 million, an increase of 4% compared to operating expenses of $34.1 million in the first quarter of 2014. The primary driver for the increase in operating expenses were increased staffing levels which support new business and new technologies but was lower than expected due to foreign currency fluctuations which resulted in approximately a 2% reduction in operating expenses during the quarter. Other income for the first quarter was $709,000 compared to $4.5 million in the first quarter of 2014. It was driven down by lower realized gains on equity investments and losses on euro-denominated deposits of approximately $1.5 million. Under the balance sheet, cash and cash equivalents were $549.9 million, up from $497.4 million as of December 31, 2014, primarily due to cash flow from operations which increased to $108 million from $97.7 million in the first quarter of 2014. Accounts receivable was $201.8 million, up from $168 million as of December 31, primarily due to higher sequential sales, as well as the timing of the sales in the quarter. Inventories were $145.6 million, up from $141.8 million as of December 31, 2014, primarily due to slight increases in raw materials inventory and continued support of our increased sales levels. Long-term investments were $115.5 million versus $114.6 million as of December 31. Accrued liabilities were $90.4 million versus $62 million as of December 31, 2014. Capital expenditures for the first quarter of 2015 were $15.7 million compared with $16.4 million in the first quarter of 2014. Depreciation and amortization expense for the quarter was $21.3 million. And on April 17, 2015, the company paid a quarterly cash dividend of $0.08 per share to shareholders of record of the common stock at the close of business on April 7, 2015. And now, I'll hand it over to Mark with the product update.
Mark W. Newton - Secretary, Director & Senior Vice President: Thank you, Kevin. As we announced at the beginning of the year, 2015 Gentex production and sales includes the largest launch of new products in our company history. Q1 2015 certainly reflected that with the highest unit volume of inside mirrors, outside mirrors, and cameras that we've ever shipped. Our sales growth in 2015 is being driven by frameless inside auto-dimming mirrors, outside auto-dimming mirrors, and advanced electronic features like HomeLink and SmartBeam continuing to be applied in combination with our other product applications like compass, interior lighting, microphones, telematics, and displays. The company continues to grow with sustainable profitability in 2015 thanks to these new products despite continuing flat-like vehicle production in our primary markets. Key for us in this growth is our increasing market penetration in small cars, B and C-class vehicles as they represent the largest segment of vehicle production worldwide. Some highlights on the key growth areas. Frameless. In 2015, new frameless inside mirrors with advanced styling to diminish the mirror front bezel have volume launch and production in all of our primary markets, North America, Europe, and Asia. These new 2015 frameless applications around C-class compact cars; D-class mid-sized cars; and E-class full-sized cars including CUV and SUV vehicle types with many mirror integrated advanced electronic applications on these frameless mirrors including HomeLink, SmartBeam, compass, interior lighting, and the new full-display mirror. Frameless interior mirrors grow to a significant amount of Gentex inside mirror production by 2017. Outside mirrors. Outside mirrors have been a leading contributor to our growth in recent years, and they continue to be in 2015 with multiple customer launches again in all three of our primary markets: North America, Europe, and Asia. These new 2015 outside auto-dimming mirror applications are on B-class subcompact cars, C, D and E-class vehicles including CUV and SUV vehicle types as well as F class luxury cars and pickup trucks with many of these outside mirror applications including advanced electronic applications like LED blind spot warning, which interfaces with radar systems on the car. HomeLink. HomeLink in the mirror and HomeLink modules outside the mirror in consoles and in visors are growth drivers in 2015 with new launches again in all three markets, North America, Europe, Asia, on B, C, D, E, F class vehicles including CUV and SUV vehicle types and pickup trucks as well as our first non-automotive applications for HomeLink on motorcycles and on all-terrain vehicles. SmartBeam. SmartBeam is a growth driver for us in 2015 in all three of our primary markets, North America, Europe, and Asia on B, C, D, E, F class vehicles including CUV and SUV vehicle types and pickup trucks and on Japanese K-car applications. Beyond this, we look forward to new growth in electronic vehicle communication with HomeLink, new growth in electronic driver assistance with our camera systems, new growth in vehicle safety and information systems with our new auto-dimming mirror technology, and new display systems. Now back to Steve Downing for our future guidance. Thank you.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thank you, Mark. Last quarter, Gentex began giving annual guidance for certain key financial measures of the company. This guidance is intended to provide better and more relevant financial information regarding our growth strategies and goals. These updated 2015 financial estimates can be found in the press release issued this morning. Based on the April 2015 IHS production forecast, which for our major markets is expected to be flat versus 2014, the company continues to estimate that net sales for the calendar year will be between $1.47 billion and $1.54 billion. The company also continues to estimate that the gross profit margin will be between 38.5% and 39.5% for the year. Based on current foreign exchange rates, the company is lowering its operating expense guidance to $148 million to $154 million from the $150 million to $157 million guidance for the calendar year. The company also expects that the effective tax rate will be between 31.25% and 32.25% which includes the effect of the previously mentioned incremental tax benefits realized in the first quarter. The company continues to estimate that capital expenditures will be in the range of $95 million to $105 million for the year, and that depreciation and amortization will be approximately $85 million to $90 million for the year. In summary, we are very pleased with the growth of our core electrochromic mirror business and many of the additional electronics technologies and features that we offer. The double-digit growth rate in Q1 in the face of the headwinds of a declining automotive production environment and a tough foreign exchange rate environment speaks volumes about the interests from our customers in our products. We continue to invest heavily in new technologies and the launch of new products globally that are intended to drive the growth of the company for the next several years. Many of these new products and technologies were on display this year at SEMA and CES, and we will also debut this year at the New York Auto Show. We are excited about the growth prospects of these new products and the challenges we face as we launch these new technologies through our manufacturing process. We can now proceed to questions. Thank you.
Operator: And we'll take our first question from Rich Kwas with Wells Fargo Securities.
Rich M. Kwas - Wells Fargo Securities LLC: Hi. Good morning, everyone.
Mark W. Newton - Secretary, Director & Senior Vice President: Good morning, Rich.
Kevin C. Nash - Chief Accounting Officer & VP-Accounting: Good morning, Rich.
Rich M. Kwas - Wells Fargo Securities LLC: On the launch costs, Steve, what was the impact in the quarter? Last quarter, I think you characterized this as about a 50- to 100-basis-point headwind. I assume it was – I think your guidance last quarter was less than that. Could you give us any clarity on that? And then as we think about the remainder of the year, what's the cadence in terms of the declining launch costs as we move through 2015?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Yeah. For this quarter, it was probably about 50 to 75 basis points, and like we said kind of in the last call, we think that'll probably last another quarter or so. That's at least our initial estimate. We're hoping that it starts to pare off throughout the year to get back to flat hopefully by the end of the year that it won't continue to be – affect us beyond this year. But like we said, that range before was kind of in that 75 to 100 basis points really is kind of a Q4. So it's moved down about 25 basis points really in the quarter, and we're hoping to see continued improvement through the rest of the year.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. And then on the new launches, should we look at it from a regional OEM standpoint in terms of the launch activity and kind of compare it to that or are you more weighted to a particular region or a class of OEMs when we think about the launch activity over the course of this year?
Mark W. Newton - Secretary, Director & Senior Vice President: Actually, we are happy to talk in more detail, if you need, on typical applications on what I was highlighting. We're fortunate to have very, very good balance in Europe, in North America, in Japan, and Korea as our primary markets in each of these new product launch categories.
Rich M. Kwas - Wells Fargo Securities LLC: So it's fairly balanced across OEMs and regions at this point?
Mark W. Newton - Secretary, Director & Senior Vice President: Yes. An example, you can consider say SmartBeam, we're fortunate with SmartBeam to now have launches that are new for the company on products like the Ford F-150, Toyota Camry, BMW 2 Series, BMW 4 Series in vehicles, a number of other Ford, Subaru, Honda Civic, Honda Pilot, Mitsubishi, and various Volkswagen products across that line as examples.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. All right. And then, Mark, you probably saw the announcement from Nissan and Toyota over the last few weeks. Nissan is going to use automatic emergency breaking, make standard in Japan, and then Toyota is going to be expanding that use of that feature as an option and make it standard in some cases across its major regions. How does that affect your growth trajectory when you look at SmartBeam and your camera technology over the next few years? I know you've booked business through 2020, but how does that potentially – does that potentially affect you in a positive manner over the next couple of years in terms of camera business?
Mark W. Newton - Secretary, Director & Senior Vice President: For us at this point – an outstanding question. For us at this point, as I just kind of generally went over on examples of new 2015 launches that are new to the company. We are also providing a SmartBeam product on those vehicles. There are multiple ADAS application levels by every automaker. Gentex SmartBeam has always participated as the midlevel option. We always try to target ourselves toward what we see as potentially best growth areas in this. And for us, SmartBeam, we have identified publicly quite a bit lately that it is one of our primary growth drivers for the business now and going forward in the future. For us, the SmartBeam ADAS represents 10% of our business. The increasing interest in camera applications in the market is outstanding for investors, and there are a number of companies, including us, that are benefiting from this and will continue to. But as I indicated earlier, among our launches this year, our Infiniti and Nissan applications for SmartBeam, mentioned Toyota Camry, Honda Civic, Honda Pilot, Ford F-150. We're increasingly also getting on vehicles that also have a higher-end ADAS package as well. So for us, we're seeing growth and we are participating as a mid-level option in addition to a lot of the public announcements you see for advanced emergency brake.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. Thanks. I'll pass it on.
Operator: And we'll move to our next question from David Leiker with Baird.
Joe D. Vruwink - Robert W. Baird & Co., Inc. (Broker): Hi. Good morning. This is Joe Vruwink for David.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Hey, Joe.
Kevin C. Nash - Chief Accounting Officer & VP-Accounting: Hey, Joe.
Joe D. Vruwink - Robert W. Baird & Co., Inc. (Broker): Wanted to follow-up, Mark, on just the last comment you made. So moving beyond just being available as part of an automaker's ADAS package, I guess my question would be when you see the volume going into the different levels of features, so high-end or entry or mid, where is most of the interest from a consumer demand standpoint going right now?
Mark W. Newton - Secretary, Director & Senior Vice President: We're seeing an increasing demand for our camera applications. Other automotive camera suppliers in the ADAS space are also seeing an increase in demand for those products. So for right now, all the information that we have, it is very positive for all of us in this space.
Joe D. Vruwink - Robert W. Baird & Co., Inc. (Broker): Okay.
Mark W. Newton - Secretary, Director & Senior Vice President: Right now, if you're looking for a lose in this, I don't have one for you right now. We're not seeing it at this point.
Joe D. Vruwink - Robert W. Baird & Co., Inc. (Broker): No, that's certainly the sense we've got, and a lot of companies seem to be seeing that. I guess, when you talk to automakers then, and you brought up the product with LED blind spot interfacing with radar, are you getting pulled by automakers or pulled by other Tier 1s into additional feature integration, interfacing with radar, Lidar, some other form of sensor through the mirror?
Mark W. Newton - Secretary, Director & Senior Vice President: Outstanding question. We are being pulled by automakers.
Joe D. Vruwink - Robert W. Baird & Co., Inc. (Broker): Okay. Great. Maybe shifting gears a bit. Looking at the international mirror shipments in the quarters, it looks like there was a pretty nice acceleration there particularly relative to Japan and Korea being a bit weak in Q1. Any particular markets or segments of the market that you might point to that would've contributed?
Kevin C. Nash - Chief Accounting Officer & VP-Accounting: Are you talking about production or where we're having the increased penetration?
Joe D. Vruwink - Robert W. Baird & Co., Inc. (Broker): Shipment growth just relative to the end markets.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Sure. So if you look at – well, like you said before, if you look at our international shipments, we did very well when you net out Europe with Japan and Korea; it was down pretty significantly when you look at those two markets in combination. For us to have the growth rates that we did in that type of production environment means the answer's pretty obvious, and by that, I mean we penetrated not only the D and E classes that we would normally participate in, but also in the B and C segment vehicles. And so when you see this type of growth rates in a poor production environment, what you're really seeing is us accelerating the penetration in the new vehicle segments, especially on vehicles we haven't been in. But then in addition to that, higher take rates on segments that we have been on historically as well.
Joe D. Vruwink - Robert W. Baird & Co., Inc. (Broker): And then maybe specifically on Europe, normally Q4 maybe saw a little de-stocking, there was kind of a view that inventories might have been a bit high entering 2015, given how demands has been this year, I certainly don't think that view is still the case. Any restocking that might have happened in Q1 that helped the exterior number?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Yeah for sure. There was definitely some pick-up that was probably slightly involving annual pace in regards to pick-up from that Q4 and Q1.
Joe D. Vruwink - Robert W. Baird & Co., Inc. (Broker): Okay, great. I'll leave it there. Thanks, guys.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thank you.
Mark W. Newton - Secretary, Director & Senior Vice President: Thanks a lot, Joe.
Operator: And we'll take our next question from Steve Dyer with Craig-Hallum.
Mark W. Newton - Secretary, Director & Senior Vice President: Hi, Steve.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Thanks, good morning. Hey, good morning.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Good morning.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: I'm just trying to get my hands around, I mean, it looks like pretty much all of your growth in excess of productions of a 10 or so, maybe a little bit more, percentage points over the last couple of quarters has been unit growth as opposed to sort of additional content. Is that fair? I mean, that's my math. And at what point – is that kind of the trade-off between giving additional functionality but yet greater penetration into the B and C class? Or is there a point when we start to see that average content numbers start to go higher?
Mark W. Newton - Secretary, Director & Senior Vice President: I'll start on this. This is Mark. As I went over in the call, and it was a new reporting method that we were trying with this call for the first time. On the advanced feature product lines, that's been the pleasant surprise for us with the growth is we're getting advanced features in B class, C class, Japan, K-cars, pickup trucks, as I indicated, like SmartBeam on F Series as well as Camry, Civic, Pilot, Subaru vehicles. So we are seeing advanced technology content that is a very pleasant surprise for the business. Normally, B and C class vehicles if – where we would have an application would be a base product. We are increasingly seeing advanced technology in that.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Yeah, Steve. As one other way to look at this is for the quarter, you saw 11% unit growth, 10% revenue growth. If we weren't moving content at about that same percentage rate, you would've seen sales revenue grow at a slower rate than units because of the difference in price points. So whenever you see units and revenue move roughly in line together, you can basically assume that the content is moving at about the same rate as the units as well. So really, they are both growing at about the same percentage clip right now.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Okay. And then despite your best efforts to increase dividends, buyback stock, invest in the business, the cash continues to pile up from the balance sheet. How should we think about that? Are there acquisitions you're looking at or not as much? Any color there would be great.
Mark W. Newton - Secretary, Director & Senior Vice President: We should probably make certain to it, assure everyone that generating cash is one of the primary objectives.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Absolutely. And I think the other thing to look at, too, is we do have three quarters in a row now of share repurchases where we've been pretty consistent in terms of our approach of how we're handling share buybacks. At the same time, if you look at the dividend increases, we have had a pretty consistent history of what our dividend policy tends to look like. So that's something that we evaluate constantly in terms of what is our dividend policy in relationship to our earnings. The last thing I will say is that in Q1, you do tend to see a bigger increase in cash because of the timing of tax payments. So in Q2, typically, we will have two tax payments that occur during that period. So usually, Q1 is disproportionately high from a cash-generation standpoint.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Yes. Got it. And then lastly, and I'll pass it off. Your other income, I know you're winding down the portfolio and so forth. It's lumpy. Is there any way to sort of think about that on a run rate basis or is it going to continue to be lumpy?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Well, I think if you look at our portfolio, I mean, our focus on paring that down was pre-acquisition and as we were going through the acquisition. I think given where we're at on a cash basis now, I think we're pretty happy with the overall size of the portfolio. Now, it's about trying to make sure we're in the right equities to make sure we're returning money off that portfolio.
Mark W. Newton - Secretary, Director & Senior Vice President: And the standout item this quarter was the euro devaluation.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Yeah, the euro devaluation. Yes. And remember, over the last 18 months, we have been working hard to pull profit off of that portfolio to help fund the acquisition and as the market ran, just to make sure we are capturing those gains ahead of any pullbacks.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Got it. Thank you.
Mark W. Newton - Secretary, Director & Senior Vice President: Thanks a lot, Steve.
Operator: And we'll take our next question from Ryan Brinkman with JPMorgan.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Hi, Ryan.
Ryan J. Brinkman - JPMorgan Securities LLC: Hi. Thanks. Hi. How are you? Good. Thanks. I see that you're calling out the currency fluctuation now as being a headwind to sales, just 1% of course, but can you help us think about this given the disclosure historically that most of your contracts are denominated in U.S. dollars. Can you remind us of the percent? And is maybe the HomeLink business setup differently relative to currency compared to your traditional business and that's what's driving the difference now?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: No. No, I mean, in essence, if you look at about 5% of sales but about a 20% swing in the currency during that period is what led to that 1%. So in the HomeLink, HomeLink is not structured any different. And in fact, I think on a percentage basis, it's probably almost exactly the same, if not a hair better even. So if you look at overall for the company though, about 5% of our sales are denominated in foreign currency so what you saw was really an extreme quarter from the euro change. And so, based on what's happened, we wouldn't expect that to occur anymore. And in fact, actually, right after March 31, it actually improved a little bit. So I think the exchange rate will probably settle back into a more normal pattern here shortly.
Ryan J. Brinkman - JPMorgan Securities LLC: But the headwind should probably remain through the rest of the year, right?
Mark W. Newton - Secretary, Director & Senior Vice President: Through the calendar year...
Kevin C. Nash - Chief Accounting Officer & VP-Accounting: Absolutely.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: A difference...
Ryan J. Brinkman - JPMorgan Securities LLC: Yeah.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Yes. Yes.
Ryan J. Brinkman - JPMorgan Securities LLC: Okay. And then just – still currency but kind of switching gears a little bit. I remember previously that yen depreciation was called out as a potential tailwind as the Japanese automakers look to kind of take advantage of that to add content to cars. And I'm just curious if you think that euro depreciation might be a potential tailwind. I know German luxury vehicles are already so highly contented. But just curious if you thought that they might, too, seek to potentially add some content given their vehicles in Europe are cheaper to produce now.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: I don't think – actually, I don't think the exchange rates will probably affect content all that significantly. If you look at most of the OEMs, they have a pretty good strategy on how they plan to affect their production costs and manage that risk around exchange rates. If you look at us, because most of our sales are denominated in dollars, it does give them some advantages as it relates to lowering their overall risk. If they're producing a car, say, in euro but selling in dollars, we do become kind of a natural hedge for the cars that they sell in U.S. dollars. So I don't think – it does have some strategic benefits to them on how they kind of laid out their overall buy, but I don't think it'll change content.
Ryan J. Brinkman - JPMorgan Securities LLC: Okay. Then just last question. Can you provide some clarification what you mean for mid-market versus high market or high-end against driver assist relative to cameras? Is it that the high-end can facilitate autonomous driving, whereas what you're doing maybe can't do that but can facilitate emergency braking or – just how do you think about that difference?
Mark W. Newton - Secretary, Director & Senior Vice President: Outstanding question. I mean, SmartBeam, our product versus other camera applications in the vehicles have always been, from the very beginning, from when we first started shipping this, we were an option package that began originally in a lighting control product. And then, over the past number of years, have added features at the direction of our customers that increasingly include ADAS functionality for specific applications, lane detection, and object detection. Alongside of us the entire time was a higher-end option package that was very specifically ADAS targeted as opposed to what we were doing at about approximately 2x the price. That's always been the case. We both, now in the current market, still have a very low percentage application rate. And the good news now is that both areas are growing with the increased demand for increased safety. There are levels to this. The higher-end packages will have more ADAS features than what we will have. We are targeting specifically, of course, sustaining our advanced lighting package, and then the customer-requested applications of lane detection, various reporting of our lane detection to the vehicle for specific applications, like lane departure warning and then object detection for detection of a wide variety of all the (31:10) objects and applications. Ours is targeted to be a mid-ranged option package from a pricing perspective, not a high-end. We've succeeded better with that up to this point for a higher unit volume and greater market application. And again, the good news right now is that this is a very good investment for all of us who are participating in this space, and very exciting.
Ryan J. Brinkman - JPMorgan Securities LLC: Great. Thank you.
Mark W. Newton - Secretary, Director & Senior Vice President: Thanks.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thanks, Ryan.
Operator: And we'll take our next question from Chris Van Horn with FBR Capital Markets.
Christopher Van Horn - FBR Capital Markets & Co.: Good morning. Thanks for taking my questions.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thank you.
Mark W. Newton - Secretary, Director & Senior Vice President: Good morning, Chris.
Christopher Van Horn - FBR Capital Markets & Co.: Could you just talk a little bit more detail about the other opportunities for HomeLink? I know you mentioned motorcycles and recreational vehicles, but could you give us any sense of how those markets are growing or how the kind of adoption rates in those markets are performing?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Sure. So, if you look at motorcycles and the alternative automotive markets, they've never had HomeLink in them at all. They are growing markets in terms of if you look at rates or vehicles or utility vehicles that exist today, they never – say, 10, 15 years ago, those were pretty small markets. And so the market growth is there, and also because we have zero take rate on those vehicles today, it is a growth opportunity. Probably the one that we – that's the one that the market talks about a lot, the one that we're probably most excited about from an overall volume standpoint is actually different regions. One of the things we've been working on is introducing HomeLink in the China market, and that includes getting compatibility in place with the garage door industry and the active control industry in China. And over the next several years, we believe there's a lot of opportunity for HomeLink penetration to grow in the China market.
Christopher Van Horn - FBR Capital Markets & Co.: Got it. Got it. And then, when you were talking about take rates, is there any specific programs where you're seeing kind of better-than-average take rates, and then vice versa, is there any programs you're seeing kind of lower than your expected take rates?
Mark W. Newton - Secretary, Director & Senior Vice President: On vehicle class or products, specifically?
Christopher Van Horn - FBR Capital Markets & Co.: Mainly on vehicle class.
Mark W. Newton - Secretary, Director & Senior Vice President: Actually, our fastest-growing vehicle class applications is B and C class. Our largest has historically been D and E. That's been changing. As D and E production has continued to reduce worldwide over recent years, we've been fortunate to see a large growth in the increasing production with B and C. B and C is the largest production growth in the industry. It has been for a number of years. Right now, we've had – in 2015, we're very pleased to see a lot of our advanced technology products on inside mirrors, advanced electronics like HomeLink and SmartBeam being applied on B and C. But they're also being added to new application for us in the full size pickups and D and E and F class vehicles as well. And outside mirrors for example, where other things that are new for the company were on Ford F-Series for outside mirrors for the first time in the corporate history that begins in this quarter, very positive results from that in addition to what we've talked a little earlier about Ford inside auto-dimming mirrors with SmartBeam. HomeLink on F-Series, as well, new for the company begins this year. So we've got good high volume truck applications as well as the B and C growth.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: And one way to look at that is historically, it wasn't really the segment that was so much the issue for Gentex. I mean, we had to penetrate new segments obviously but typically, we did really well wherever you'd see segment increasing in price or wherever you saw the average vehicle price increasing; that's when you'd see typically Gentex do well on new markets. The one thing that's interesting for us and that's given us a lot of – had a lot of excitement around the growth opportunities in certain foreign markets like in Japan, for instance, the K-car segment, which is a very inexpensive car in the Japan market, is offering a lot of our new features and advanced electronics. And so, now you're starting to look at markets that historically we would have viewed as probably the last kind of conquest segment or market to go after at some of the exciting growth opportunities that we're having a lot of content interest from in that market. So you're talking about as the key car (35:38) you're having a $15,000 car, for instance, that has some of our highest-end features available on it in the Japan market.
Christopher Van Horn - FBR Capital Markets & Co.: Got it. Great. Thanks for the color.
Mark W. Newton - Secretary, Director & Senior Vice President: All right. Thanks very much.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thank you.
Operator: And we'll take our next question from Brett Hoselton with KeyBanc.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Good morning, gentlemen.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Good morning.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Good morning, Brett.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: A few questions on the revenue growth outlook. First, can you talk about the frameless mirror, the impact on kind of average selling prices, maybe comparing a price of a frameless mirror versus a base mirror and so forth? I mean, how do we think about that impacting your revenue?
Mark W. Newton - Secretary, Director & Senior Vice President: As we've talked before on this, Brett, typically, our customers are – they frown upon us talking publicly about the pricing. And so, with that, we'd reserve going into more specific details in this area. We publicly stated that frameless is a new technology that is higher tech than what we were doing. It's an upgrade to the product and that it is accretive to revenue and to growth. It's a more expensive product to build. We've spoken publicly about the manufacturing of new technology challenge that we've had in the last two quarters. Frameless is one of those reasons. It's tougher to build, but we're learning and getting better at that. That's probably the best way we should describe it.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: And then, thinking about HomeLink, can you talk about current penetration rates in some of your key regions for that product? And then, do you have any thoughts as to where those penetration rates might go over the next, say, three, four, five years?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Sure. So, if you look at where we're going to change a little bit of the focus. This is one of the things that we struggle to explain well and sometimes I think it gets a little confusing for people. But historically, all of the conversations we've had up until now on the call have been about production, where vehicle production occurred. When we talk about HomeLink penetration, we actually talk about where the cars are sold. And the reason why we do that is, historically, HomeLink has been focused on North American market. So if you look at the North American sales market, we're a little over 40% penetrated in the North American market for HomeLink currently. That's been on a steady increase over the last several years. We predict that will continue. There's a lot of interest in HomeLink. There's a lot more use cases for HomeLink in the North American market, and there's a lot of things we're working on over the next several years that we believe will continue to drive that penetration higher. When you look at HomeLink in the other sales markets, for instance, Europe, it's extremely low penetration in Europe. Low – very low-single digits for the European market. In China, it's zero currently. And that's one of the reasons we're excited about the potential that HomeLink has especially in the China market as we believe there's a lot of use cases for that product in the China market. And given the production volumes and the fact that we have products basically that are already available on most of the vehicles we're targeting in the North American market, we think it's a very good growth opportunity for the company there.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: As you think about Europe and China and your penetration into those markets, do you see that as being primarily kind of an OE route or is there an aftermarket element to that as well?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Primarily OE, I mean, aftermarket is always a function of what we look at as part – both to help gain interest, and if you already have the product available, it's pretty easy to develop those aftermarket channels. But with most of the products we do, our OEM applications are primary focus.
Mark W. Newton - Secretary, Director & Senior Vice President: As with everyone who is supplying product increasingly into the growing China production environment, the majority of our business and 99% of it are products that are awarded by automakers in the United States and Germany, UK, Sweden, Japan, and Korea. So what effectively happens, as HomeLink begins to be applied, is vehicles that are already tooled with HomeLink, as those vehicles are applied to China, if there's something for HomeLink to plug into in China, which there now is, automakers allow that feature content to occur.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: And then finally, just in terms of cash, uses of cash and so on and so forth, I guess your net cash based on my calculation is about $400 million. So you've got a very healthy balance sheet. Is there a possible expectation that you might become a little bit more aggressive on the share repurchase side of things, maybe maintaining a flat share count or at least repurchasing the stock that – anyway, maintaining a flat share count? I mean, how do we think about the deployment of capital? I know the question was asked earlier, but is there a possibility that we could see something maybe a little bit more aggressive at some point in time in the future?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Well, I think what you have seen over the last three quarters is a sign of us being more aggressive. I mean, if you look back over the prior two-year period before those three quarters, we were inactive in the share repurchase area. So if you look at the last three quarters and the increase in what we've been doing, you'd see the $10 million and then $20 million and then $25 million. I think from our perspective, I think we are sending a very clear sign of what our strategy is as it relates to capital deployment. As it relates to dividend like we talked about before, the company has had a pretty consistent policy on how we handle dividends and as well as things that we look at all the time in terms of making sure we're returning a proper dividend to the shareholders based off our earnings growth.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Yeah. Very good. Thank you very much, gentlemen.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thank you.
Mark W. Newton - Secretary, Director & Senior Vice President: Thank you, Brett.
Kevin C. Nash - Chief Accounting Officer & VP-Accounting: Thanks, Brett.
Operator: And we'll move next to Jason Rodgers with Great Lakes Review.
Jason A. Rodgers - Great Lakes Review: Good morning.
Mark W. Newton - Secretary, Director & Senior Vice President: Hi, Jason.
Kevin C. Nash - Chief Accounting Officer & VP-Accounting: Hey, Jason.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Hey, Jason.
Jason A. Rodgers - Great Lakes Review: Just speaking of penetration rates, I was wondering if you have an estimate for the penetration rate of SmartBeam when used as a lighting control product as well as what your share of the lighting control product market is.
Mark W. Newton - Secretary, Director & Senior Vice President: That area is changing considerably, particularly over the last three years. And we continue to publicly say for the last year that we're advancing technology in this area due to increasing demand. And the actual market penetration of camera ADAS applications on vehicles is still very, very low currently today in this. It represents for us as a company about 10% of revenues. So ADAS is not 100% of our sales, and we're fortunate in that that we have – we're working consciously to try to have a wide variety of – an increasing variety actually of technologies for application on automobiles, and we're working to do that. But right now, honestly, the application rate for camera systems on cars, we would probably generally estimate at single digits on production worldwide. And we're fortunate, all of us who are in this space, all the suppliers are fortunate that there's now growth in it.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: The one thing we have pointed out historically is that when we are on a vehicle, so when a vehicle offers our lighting control products, it tends to be favored very heavily by consumers. They like the lighting feature that we produce. And so we see – we tend to see pretty high take rates once we're on a vehicle.
Jason A. Rodgers - Great Lakes Review: And looking at SmartBeam DFL, when do you think that will be offered in the U.S.?
Mark W. Newton - Secretary, Director & Senior Vice President: We are very, very cautious about trying to anticipate when the United States government might apply technology.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Allow us to sell a technology, but honestly, the OEMs are the ones who are primarily focused on helping to free up that legislation that prevents our DFL product for being available for sale in the North America – in the U.S. market.
Jason A. Rodgers - Great Lakes Review: Okay. And then looking at the portfolio, what's the current level of unrealized gains?
Kevin C. Nash - Chief Accounting Officer & VP-Accounting: Net of tax is just over $10 million.
Jason A. Rodgers - Great Lakes Review: And then finally, the aircraft shipments being off in the quarter, was there something one-time in nature? If you could provide any detail there.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Well, really, the situation that was one-time in nature was really Q1 of last year was larger than we had anticipated. We believe there were some system fill things happening there from the Tier 1 area. And that's why the sales were so much higher in Q1 of 2014. It really wasn't a really a decline for us in Q1 of 2015. It was more what we expected that business to look like. Q1 was right in line with our expectations of window shipments.
Jason A. Rodgers - Great Lakes Review: Thanks very much.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thank you.
Operator: And we'll take our next question from David Whiston with Morningstar.
Mark W. Newton - Secretary, Director & Senior Vice President: Hi there, David.
David Whiston - Morningstar Research: Hey, guys. Thanks. Good morning. Just wanted to go back again to capital allocation, if you don't mind. Just one clarification. Can you remind me – are Fred and the board ever open to doing a special large dividend?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Typically not. Not that they're opposed to it, but typically, what we're looking at is something that will produce value for the business over the next several years. The problem with a one-time dividend is it doesn't really help us grow the business. That's why we tend to look at the current dividend policy plus share repurchases plus acquisitions as our primary focus for capital allocation.
David Whiston - Morningstar Research: Okay. Thanks. And going back to HomeLink, the expansion into motorcycles and ATVs, is that something that was Gentex's idea after acquiring it, or is JCI already working on that technology?
Mark W. Newton - Secretary, Director & Senior Vice President: I don't know specifically what JCI may have been targeting from a market perspective. We had targeted from the moment we closed the acquisition. Effectively, it's very simple strategy, it was – target all of the potentially available markets where you can apply the product. And so we did a number of things, as we've detailed, that had not yet occurred when we acquired the business. One was the agreement signed with access control industry customers in China, which we did immediately right away; two, was a creation of an aftermarket, which didn't exist for accessory applications. The creation of HomeLink products could be more immediately applied, like a long-life battery-powered HomeLink; and from that, immediately came and then have the general willingness to market it to non-automotive applications like motorcycles, all-terrain vehicles, agricultural applications, things like this. This has been positive for us. We did that consciously ourselves. I don't know specifically what Johnson Controls may have been targeting before they sold the business.
David Whiston - Morningstar Research: Okay. And last question, I believe that Lincoln Continental Concept has an electronically darkening glass roof. And I was just wondering, is Gentex able to ever get in on supplying that kind of product throughout the auto industries that's scalable?
Mark W. Newton - Secretary, Director & Senior Vice President: That's not been a product that we have targeted up to this point for the following primary reasons, and again, it's a conscious effort on our part to stay consistent with what we've presented to investors as a company all along. And in that area is target large, high-volume applications that have the least level of liability risk, trying to make us again a safer investment as an American public company. And so those applications, while attractive and while we've always been aware of them and while we look at them, are still not an application that's materially significant for us as a business.
David Whiston - Morningstar Research: And just to clarify, are you saying that there's more legal liability risk from supplying that type of products?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Well, it's on the outside surface of the car and any time you're in exterior surface, you increase in safety liability. For example, if we were making auto dimming windshields, which we don't, you're the outside surface, you're the most liable party. It's a higher liability than, say, an inside mirror on the car as an example. We've not done anything that's an outside exterior surface as a business in our history.
David Whiston - Morningstar Research: Okay. Thanks very much.
Operator: And we'll take a follow-up question from Rich Kwas with Wells Fargo Securities.
Rich M. Kwas - Wells Fargo Securities LLC: Hi. Just a couple of clarifications. So, Steve, on the outlook, the revenue outlook for the year, are you assuming current euro and yuan rates from a currency standpoint?
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Yeah. Yeah, that's correct. Yeah.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. All right. And then, on the penetration on the A, B, C segments. Historically, you've given some penetration rates in terms of advanced features, and I think the numbers would be 55% or 60%. I don't remember seeing an update recently. But of the vehicles that had some form of advanced electronic features, what's the penetration rate for the B and C right now? I assume it's pretty low, but – could you give us any idea of where it is currently and how you view the opportunity over the next several years?
Mark W. Newton - Secretary, Director & Senior Vice President: What we have been saying for advanced feature application rates for our product since we took over the messaging, was approximately 50% to more than half of revenue in this. We've determined to be less accurate because the market is typically less accurate since we're sold primarily as an option. And since there's such a high variation in it, we target as a business to try to find at least 50% of revenues from advanced applications from advanced technology standpoint in this. Now, in B and C application of advanced feature product mix. That's a new for us now in this. And so, it's still very, very low percentage at this point. But the positive impact that we're getting right now for B and C growth with awarded business and new product launches is that there is a growing percentage of this that is advanced feature.
Rich M. Kwas - Wells Fargo Securities LLC: And then do you think it ever could rival 50% of the segment itself?
Mark W. Newton - Secretary, Director & Senior Vice President: Actually, that is what we're seeing occurring. As we enter new markets, it tends to balance with what occurred with D and E. That's what we're seeing, approaching, and we hope that continues.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. Thank you.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Hey, Rich. Just to clarify one thing, too. You said that euro and yuan, but actually our – currencies that we look at that have most exposure to are the euro and the RMB, so the Chinese yuan just to be explicit. Yeah.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. All right. Thank you.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: Thank you.
Operator: And there are no further questions in the queue at this time. I'll turn the call back for any additional or closing remarks.
Steve R. Downing - Chief Financial Officer, Treasurer & VP: No. We're done. Thank you very much.
Operator: That does conclude today's conference. Thank you for your participation.